Operator: Good day, and thank you for standing by. Welcome to the Extreme Networks Second Quarter Fiscal Year '23 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Stan Kovler, Vice President, Corporate Strategy and Investor Relations. Please go ahead.
Stanley Kovler: Thank you, and welcome to the Extreme Networks fiscal second quarter 2023 earnings conference call. I'm Stan Kovler, Vice President of Corporate Strategy and Investor Relations. With me today are Extreme Networks' President and CEO, Ed Meyercord; and Interim CFO, Cristina Tate. We just distributed a press release and filed an 8-K detailing Extreme's financial results for the quarter and also an 8-K detailing our CFO transition. For your convenience, a copy of the press release, which includes our GAAP to non-GAAP reconciliations, our earnings presentation are both available in the Investor Relations section of our website at extremenetworks.com. And I would like to remind you that during today's call, our discussion may include forward-looking statements about Extreme's future business, financial and operational results, growth expectations and strategies. All financial disclosures on this call will be made on a non-GAAP basis, unless stated otherwise. We caution you not to put undue reliance on these forward-looking statements, as they involve risks and uncertainties that can cause actual results to differ materially from those anticipated by these statements, as described in our risk factors in our 10-K report for the period ended June 30, 2022, is filed with the SEC. Any forward-looking statements made on this call reflect our analysis as of today and we have no plans or duty to update them except as required by law. Now, it's my pleasure to turn the call over to Extreme's President and CEO, Ed Meyercord.
Ed Meyercord: Thank you, Stan, and thank you all for joining us this morning. We had another record quarter, as demand for cloud-driven networking and for Extreme Solutions remains exceptionally strong with good visibility through fiscal year end '23, leading us to raise our full year revenue outlook to the high end of our range. Our share gains are evident by a second consecutive quarter of double-digit revenue growth, 17% growth in product revenue, record free cash flow and a sizable backlog. The resiliency of our business combined with a strong execution of our teams and focus on shareholder value continues to position Extreme well for the long-term. The sequential increase in revenue and margins led to continued improvement and our operating model to record levels just shy of 15% operating margin, and we achieved EPS of $0.27 in Q2, up from $0.21 in the year ago quarter. We expect these bottom line earnings trends to continue. Both our fabric and cloud solutions are driving significant differentiation for Extreme, particularly due to our ability to deliver network automation, hyper-segmentation, unmatched security. Today, our fabric solutions offer a simple way for customers to tie all the components of their network together, and the branch, campus, data center to the cloud. It removes network complexity, speeds deployments and streamlines operations. The transition to universal products has proven successful, with well over 60% of our bookings now on universal platforms for Wired and Wireless Products. We're on track to achieve this transition by year end calendar '23 with over 90% coverage of our portfolio with the universal platform. This calendar quarter, we'll be announcing a set of unique innovations, involving ExtremeCloud SD-WAN and our widely deployed Extreme Fabric. These capabilities will enable our customers to improve visibility, management, application performance and security at the edge of the network. This further extends our vision of one network, one cloud, one Extreme over the wide area network with a truly differentiated fabric technology. We're focused on helping our customers find new ways to deliver better outcomes across their organizations. During the quarter, 44 customers spent more than $1 million with Extreme, up from 37 last quarter, is another signal of how Extreme continues to take share and move up market. The top wins for the quarter included a multinational bank in Hong Kong, where we beat two of our largest competitors to modernize the infrastructure for surveillance, digital cornerstone for safety and security. After using a competitor for many years, Extreme was able to bid on this project and win. A large school district just outside of Houston was looking to streamline management of its network, which sprawls across 92 buildings and support 60,000 students. Our fabric technology will provide full visibility across the network, simplifying and unifying network management, improving security at every site, and automating network configuration and provisioning to significantly reduce time spent on new deployments. A leading NHS Trust Hospital and Cancer Research Center in London upgraded their networks to continue to offer patients the most modern care. New bandwidth heavy applications, telehealth visits and medical devices are crucial for patient monitoring and require a Wi-Fi 6E fast, reliable, low latency network that could be easily managed by Extreme Cloud IQ. Our competitive position has never been stronger. Given our relative size, even small share gains have a large impact on Extreme's topline. We remain the fastest-growing company in our space. Third-party analysts, industry press and partner community have taken notice and we received numerous accolades and awards for our solutions and service. For the fifth consecutive year, we were named a leader in the Gartner Magic Quadrant for Wired and Wireless Local Area Network Infrastructure. Our innovation, vision and continued execution with solutions like fabric and digital twin were significant factors in our ranking. Our new customer logo wins contributed a higher percentage of our bookings. About half of our new logo wins are coming, because of fatigue and lack of innovation from some of the largest players in the industry. We're taking advantage of these market dislocations and when customers realize, they'll benefit from interoperability between platforms, simpler licensing structures, productivity from Extreme versus our largest competitor, we're quick to capitalize on these opportunities to win new business. More customers and partners choose Extreme, because of our ability to offer unlimited end-to-end network that can be managed within a single-cloud platform. Customers also love our universal hardware that offers choice of both cloud-based and on-premise deployments. As product lead times continue to improve, we expect our share gains to accelerate. Last quarter, we strengthened our go-to-market organization by appointing Pete Brant as Senior Vice President of U.S. Sales. Pete is a proven sales leader focused on taking share and building SaaS organizations coming from leading networking and security companies, such as F5 and Fortinet. We ended Q2 with ARR growth of 29% year-over-year, while SaaS deferred revenue grew at 38% year-over-year. Our innovative cloud solutions are pulling through product sales and we believe the level of organic subscription growth we're seeing is sustainable. In addition, the improvement in supply chain, our ability to deliver products, most notably Wireless LAN this quarter supported a strong pull-through of software subscription for the next several years. On the supply chain side, our ability to pull in components enabled us to achieve revenue upside, which we believe is sustainable into the second half of the year. As a result, we are raising our revenue outlook to the high-end of our prior 10% to 15% guidance range. We continue to be laser-focused on tactical execution to meet our customer’s needs. This quarter alone, we qualified an additional 37 component suppliers and significantly reduced our parts shortages. Based on all the actions we've taken with our supply chain over the past year, we now have visibility and confidence that the ramp of our product deliveries will continue to improve and reduce lead times. With a strong outlook for bookings growth and the gradual improvement of supply, we expect backlogs to remain relatively stable for the next several quarters. We're in the beginning stages of an accelerated wave of product shipments and revenue growth over multiple quarters. The majority of our backlog consists of the latest generation universal products that pull-through subscription and service bookings. So when our backlog shifts, it will also unleash subscription and maintenance services revenues over the next several years. Throughout calendar '23, we have several universal product innovations coming to market that will drive better outcomes for our customers. In addition to the 5720 switches designed for higher data throughput, such as our Wi-Fi 6E access points will be coming to market with new industrial switches for hardened environments and smart city deployments. New distribution switches to support the higher power over Ethernet and density requirements of Wi-Fi 6E and Wi-Fi 7 in the future. Several new datacenter and core products will also launched throughout the year. Lastly, I want to welcome our Interim CFO, Cristina Tate to the call. Cristina is a proven and highly respected leader at Extreme, and I expect a smooth transition as we enter this new growth phase. Remi accepted a new opportunity with a privately owned software company and will stay on with us through the middle of next month to oversee the transition. He was a great partner and leader, and has set the company up for success. With that, I will turn the call over to Cristina to cover the financials.
Cristina Tate: Thanks, Ed. Q2 results highlight solid execution by the team, as well as an improvement in the supply chain environment. Our ability to deliver product resulted in record revenue and continued the trend of double-digit revenue growth we have achieved in seven of the last eight quarters. Our SaaS ARR continued to rise. We improved our margins sequentially, and we generated record cash flow, which enabled us to repurchase 2.6 million shares of our common stock. Our second quarter revenue of $318.3 million grew 13% year-over-year and 7% quarter-over-quarter, which was above the high end of our expectations entering the quarter. With a product book-to-bill ratio of 0.9 times for the quarter, our backlog stands at $542 million, equivalent to 2.5 quarters of product revenue. The slight decrease in backlog primarily reflects accelerated product shipments. Product revenue grew a healthy 17% year-over-year and 8% sequentially, attributable to both campus switching and Wireless LAN, partially offset by a decline in data center. The ongoing loosening of the supply of access points resulted in Wireless LAN revenue accounting for 34% of product revenue, up from 30% in Q1. Subscription bookings grew by 30% year-over-year, in line with the long-term guidance of 25% to 35% growth provided at Investor Day last May. SaaS ARR grew 29% to $115 million, up from $89 million in the year ago quarter. Subscription deferred revenue was up 38% year-over-year and 9% quarter-over-quarter to $187 million. Q2 earnings per share was $0.27 above the high end of our guidance entering the quarter. Revenue on a geographic basis once again reflects the timing of product shipments to our distributors across the regions. Regarding our bookings performance, recall that we experienced very strong demand in Q1, resulting from pull-ins of deals from Q2, ahead of the list price increases as of October 1. Then during Q2, we saw less of a year-end budget flush than we normally see and it's a tight supply environment. This resulted in a slight decrease in bookings in Q2. However, for the first half as a whole, bookings grew low-single digits year-over-year. As a reminder, last year in the first half, our bookings grew in the mid-teens year-over-year. From a vertical standpoint, our mix did not changed meaningfully this quarter, with government and education accounting for over 40% of the total, healthcare at a bit over 10%, manufacturing at approximately 10%, and retail, transportation and logistics approaching 10%. Services and subscription revenue was $94.9 million, up 6% year-over-year. This growth was largely driven by the strength of cloud subscription, up 33% year-over-year. Total Q2 recurring revenue, including maintenance, managed services and subscriptions was at $88 million, or 28% of total company revenue. The growth of cloud subscriptions and maintenance drove the total deferred revenue to $446 million, up 19% from the year ago quarter and 5% sequentially. Our gross margin came in at 58.5%, up 90 basis points sequentially and 30 basis points from the year ago quarter. This was mainly attributable to our product gross margin, which benefited from higher revenue and an improvement in supply chain and distribution costs, partially offset by a change in the product mix with higher contribution from Wireless. Our services and subscription gross margin was at 67% in Q2, consistent with both the prior year and prior quarter periods. Q2 operating expenses were $139 million, up from $127 million in the year ago quarter and from $135 million in Q1 '23, reflecting higher R&D investment and sales and marketing expense to support higher revenue growth. Total operating expense as a percentage of revenue was 43.7%, down 1.7 percentage points versus last quarter. All-in-all, our operating margin was 14.9%, the highest level ever achieved, up from 13.1% in the year ago quarter and 12.1% in Q1 '23. This quarter, we enjoyed record free cash flow of $67.5 million, driven by the strong increase in our EBITDA, as well as a reduction in operating working capital due primarily to strong collections. Our cash conversion cycle rose five days sequentially to 24 days. This strong cash flow enabled us to complete $50 million worth of share buybacks, while also reducing our net debt by $14 million to $59.5 million. Now turning to guidance. As we enter the second half, our confidence in the revenue outlook is supported by our product backlog of $542 million, our services and subscription deferred revenue balance of $446 million, as well as a product pipeline that is up double-digits year-over-year. We continue to expect that the reduction in expedite fees and shipping costs, combined with the full impact of our recent pricing actions will lead to a continued progressive recovery in gross margin throughout fiscal year '23. Against this backdrop, we expect for Q3 revenue to be in the range of $315 million to $325 million, gross margin to be in the range of 58% to 60%, operating expenses to be in the range of $140 million to $145 million, and earnings to be in the range of $31.1 million to $38.4 million, or $0.23 to $0.29 per diluted share. We expect to cross the 60% gross margin threshold in Q4. For full fiscal year '23, we expect revenue growth towards the high end of our 10% to 15% outlook, with an operating margin in the mid-teens. With that, I will now turn it over to the operator to begin the question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Henderson with Needham & Company. Your line is open.
Alex Henderson: Great. Thank you very much. I knew there had to be somebody behind Remi doing all the work, so welcome to the call Cristina.
Cristina Tate: Thank you.
Alex Henderson: It could have been just for Remi. I knew it had to be somebody else. I was hoping you could talk a little bit more in-depth about your commentary around backlog. I think you had said that you thought it would be up slightly in the December quarter, but obviously on a lower revenue guide. So it sounds like the overall orders were actually a little bit ahead of forecast or ahead of what would have built a little bit of backlog. But I think you'd also said that the March quarter, you would expect it to be flat to down here and then the June quarter down a little bit more. So the comment about the backlog relatively stable implies somewhat of a change in the rate of backlog usage bookings would have to be or orders would have to be a little bit stronger than what you had suggested, given the higher comments. So am I reading that correctly that you're actually a little bit more confident on new orders based off of what you said about the flatness of the backlog going into the June quarter?
Ed Meyercord: Hi, Alex. This is Ed and then Cristina jumps in behind if you want to add another comment, but I think that's right. So this is, for us, if we look at what happened as Cristina mentioned that, first half of last year we grew 16% in the first quarter and the first half of the year, and then we were up low-single digits in the first half of this year and then a lot of it got pulled-in to the first quarter. But our supply chain teams have done a great job. We talked about all the work that's going on behind the scenes. So we're seeing it loosen. So we've seen an acceleration of the release of products. And at the end of the day, we want to take care of our customers with some of that older aged backlog that's out there. So we took advantage of that. The second half for us, as you know, we see a lot of demand, and we're really confident and our teams are very confident of that demand. So we have booking strength we see in the second half of the year, and that should hold that backlog -- that should hold the backlog very, very stable through the second half of the year.
Alex Henderson: Yeah. Just to be clear, that's product backlog you're talking about, right?
Ed Meyercord: That's correct.
Alex Henderson: So that also results in an increase in your services backlog as a result of the releases of services on those bookings.
Ed Meyercord: It does. I mean, the other thing that's happened here is that we have and you can see it from a bookings perspective, we talked about universal hardware platforms and those universal hardware platforms typically will have service attach and always subscription attach. So we have a backlog of subscription and services that will be released as we release the product backlog.
Alex Henderson: Second question I have for you is on the inventory side of things. There is certainly a lot of costs that were inflated over the last year as a result of the supply constraints. When I look at your inventory up considerably over the last two years, is there a -- some higher priced inventory in there that needs to be worked down before the full leverage of the upside to universal and lower parts costs plays through? How do we think about the improved availability causing that inventory to come down driving up cash flow?
Ed Meyercord: Yeah. Well we -- yeah, at a high level, we have -- obviously the older inventory shipping out, newer inventory coming in, which is going to come in at the higher COGS and we are building up supply. And the inventory is correlated to getting more supply and we're anticipating getting more supply. So I think, there is a correlation there, and maybe I'll ask Cristina to comment overall inventory.
Cristina Tate: Yeah. So at the inventory, I see is another sign of the improvement in the supply chain. So we were able to get more parts in and we're able to have more finished goods. So I think it will definitely lead to being able to ship more of the backlog. And that's a good sign from the supply chain.
Alex Henderson: Yeah. The question really is on the cost of goods sold, relative to the inventory that was maybe inflated part costs to it. Is that in inventory and therefore has to be worked through before you get the benefit of falling parts costs as a result of improved supply chain?
Cristina Tate: So the benefit that we'll see in our supply chain cost is really related to those incremental expedite fees and higher logistics costs that we've experienced through this challenging supply chain environment. The component costs themselves, we have seen inflation of that and we're not seeing that yet come back down.
Alex Henderson: I see.
Ed Meyercord: Yeah. And Alex, I think another consideration is that, there are two other key things that happened. So as a percentage of mix, Wireless was up in the quarter. And so, as the Wireless mix goes up, that tends to have a little bit of a drag on gross margin, as you know, campus switching is slightly higher margin in terms of mix. And I think underlying your question is also timing of when we sell out some of the aged inventory that we took orders before some of the price increases, and so that will help us as we move forward. I think that's what you were underlying your question there. As we move forward with newer orders that we have taken from customers, they will reflect more of the price increase and that will create a tailwind for gross margin going forward.
Alex Henderson: I see. So what are you assuming parts costs are exiting the year above normal? Thanks.
Cristina Tate: So parts costs are roughly, I would say 2 percentage points to 3 percentage points above the normal percentage of revenue, as part of the standard COGS. And right now, we're not seeing -- we're basically expecting that trend to stay flat and then come down progressively through the next, I would say, three to four quarters.
Alex Henderson: Thank you very much.
Ed Meyercord: Thanks, Alex.
Operator: Thank you, one moment. We have a question from Eric Martinuzzi with Lake Street Capital. Your line is open.
Eric Martinuzzi: Yeah. Congrats on the strong quarter. My question has to do with the FY ‘24 language. I want to make sure, I'm understanding this. I think last quarter you talked about FY ‘24 growth in the range of 15% to 17% and this quarter at least in the press release the languages accelerated growth, so wanted to know if that 15% to 17% is still what you're talking about when you say accelerated growth or if it's something different?
Ed Meyercord: Yeah, Eric. I think at this stage of the game, we'll hang on to the long-term CAGR that we put out there as far as 14% to 17%. And so, it's that sort of mid to high teens number and we're very confident of that number going into '24. And the call here given the acceleration of supply and what we've seen here, so the combination of strength of demand that we're forecasting as far as bookings, as well as the supply release we're calling the high end of that 10% to 15% range for the second half of the year, but we do expect it to go up in fiscal '24.
Eric Martinuzzi: Okay. And then you talked about the health of the pipeline. I was wondering if you could take that down to your geographic levels and talk about USA, EMEA and APAC pipeline?
Ed Meyercord: It's interesting, Eric. It's strong across the board. We've been getting a lot of questions about, are we seeing softness? We've heard other companies talking about it kind of macro-tech in general. So we've drilled down and we've been doing RD (ph) level calls across all regions. And interestingly across the board globally, our teams are calling strength and it shows up in terms of the leadership and then the directors and literally our direct sellers are rolling up and what they're calling. In terms of the pipeline and our funnel analytics, we've got very good visibility and we're getting much better at calling numbers and we have this AI tool that we use that helps us call it. So I'm going to call it across the Board. There's not specific strength or weakness to call out, other than the recovery in APAC. Asia-Pacific and some of our markets there have been hit by currency, other issues and that -- we felt that this quarter, but the teams have a plan and we have new leadership in markets and we're expecting a really strong recovery in Asia Pacific.
Eric Martinuzzi: Got it. Thanks for taking my questions.
Operator: Thank you. One moment for our next question. Our next question comes from Mike Genovese with Rosenblatt Securities. Your line is open.
Mike Genovese: Great. Thanks a lot. So there was a lot of positive commentary on the subscription and SaaS revenue growth, but the subscription growth went down to 30 from 60 in the quarter before. So can we just get more color on whether tough comps or timing issues, and what do you expect in the second half of the year on that subscription growth?
Ed Meyercord: Yeah. So, thanks, Mike. Yeah, subscription growth, if we look at quarter-over-quarter subscription growth, year-over-year subscription growth, the trends have been somewhat consistent, what we've call is a long-term range where we've said, you're going to see a 30% to 40% subscription growth. We have a lot of -- as you're well aware, we have a lot of our subscription in backlog. So it's a function of the timing of the release of backlog, and it's the timing of the release of backlog. And then, as you know, when we release subscription, you get -- there is a delay in terms of how you recognize revenue because of the accrual. So one of the things Cristina commented on, was the 38% growth in terms of the accrued subscription revenue, deferred revenue and then we think you'll see that rollout, but the long term model is, I'm sorry, 25% to 35% and that's the normalized level that, that I know we put out for our long-term guidance. And 33% fall is going to right in the middle there, but we would expect that to continue. Cristina, I don't know if you want to add other color to that?
Cristina Tate: Yeah. It is in line with our guidance, long-term guidance. And so, that is according to expectations and there is a bit of a timing with regards to attached product as well. So some of our subscription bookings are attached to wireless bookings and so, there will be a little bit of fluctuation quarter-to-quarter due to that.
Mike Genovese: Okay. Great. Thanks. And then I know this is hard to call out at this time and make an accurate forecast, but in terms of fiscal '24 gross margins versus fiscal '23 gross margins, I'd love to get your thoughts on, how -- roughly how many points of improvement that supply chain and other factors like software mix could drive in the gross margin for '24?
Ed Meyercord: Yeah. I'll take a shot at this Mike, and then open it up for the rest of the team, but we continue to see the step function. We are seeing a slightly higher concentration when we look at mix. Wireless comes in with a lower gross margin, then campus switching and data center switching, certainly. And then because of the strength of product that we're seeing, we wind up with more product mix, which has lower gross margin than our subscription and service revenue. So as a result, that's why we've tempered our outlook for the rest of the year. But we're very confident and crossing over that 60% gross margin number as we head into our fourth quarter of this year and we expect a step function to continue into fiscal '24.
Cristina Tate: Exactly. We expect to hit 60% in Q4. We've seen a gradual progressive improvement in our gross margin throughout fiscal year '23. So roughly about a percentage -- 0.5 percentage point to 1 percentage point of improvement in each quarter. And we expect that trend to continue in fiscal year '24. I mentioned that unusual or an inflated costs related to the supply chain environments such as expedite fees, and higher than normal freight costs, we expect those to gradually come down and continue to come down through FY '24. So roughly, I would say that we expect gross margin to improve roughly 3 points to 4 points by the end of Q2 -- fiscal year '24.
Mike Genovese: Okay. Thanks so much.
Operator: Thank you. One moment for our next question. We have a question from Greg Mesniaeff with West Park Capital. Your line is open.
Greg Mesniaeff: Yes. Thank you, and congrats on a good quarter. I have an R&D question for you guys. As you look at your product mix, and you look at component costs, the fact that they've gone up and they've remained sticky. What kind of initiatives are you -- do you have in place right now to basically engineer out some of the hardware component costs, particularly in switching and campus switching in areas where you know, it's kind of component heavy, if you will? Any insights on that would I think be kind of helpful to see how you can essentially move beyond some of the higher component costs that go into the products and the switches? Thanks.
Ed Meyercord: Yeah. Well, Greg, thanks for the question. I'll lead off. One of the things that I mentioned is that, during the quarter that we qualified an additional 37 component suppliers. And there is a question of our resiliency around availability and supply chain constraints. And then there's also the question around how we drive our gross margin through the qualification of new suppliers and new components and new parts. One of the lessons learned for us is that, we have the ability to enhance this qualification process and the qualification process that was solely focused on availability will be turned towards driving and improving gross margins as we go forward. So it's a good question. I can tell you, it's something that we're very focused on.
Greg Mesniaeff: Great. Also did you guys give a DSO number for the quarter?
Stanley Kovler: Yeah. Greg that should be in the presentation. And if you look there, we talked about DSO in the 44 day range, it's on Page 14 of our…
Greg Mesniaeff: Okay. Got it. Thank you.
Stanley Kovler: Thank you.
Ed Meyercord: Thanks, Greg.
Operator: Thank you. And our next question comes from Dave Kang with B. Riley. Your line is open.
Dave Kang: Thank you. Good morning. Just my first question is on your key verticals, I assume there is still positive. Any verticals that is turning negative?
Ed Meyercord: Hi, Dave. I think we have -- yeah, the one area which for us is a small percentage of our business, but you have seen some softness in service provider. I think you've probably heard that more broadly in the marketplace. We have some very targeted service provider customers and through the quarter, we think that some of the capital spending programs with some of the larger end-users has slowed down a bit. That being said, as we forecast the second half of the year, we're seeing healthier demand coming from our service provider team, in terms of the call for the second half. But that would be the one to call-out, otherwise, I would say, relative strength for us. The other high-level comment that I would make is that, we are in a position from being a somewhat smaller player with a lot of other larger players in the industry for us to take share. So in some of the verticals and we'll be coming out and announcing some wins that we've got, we've been able to win significant share in some of these markets, where there's a meaningful share shift that sort of transcends what's going on and maybe more the general macro sense, which will be coming out with. So, I would say in general, pretty steady across the board in terms of the verticals and service provider, which was soft. With our very focused applications, we see strengthening from where we were in the first half through the second half.
Dave Kang: And speaking of service providers on Ericsson, they talked about the 5G market a little bit choppy this year, especially first half. Do you still expect to achieve your target of $100 million in 5G, despite Ericsson's comments?
Ed Meyercord: We do. We still see strength. We don't think 5G is going away. We think there is a pause with some of the buyers, as they're tightening their budget, but the long-term opportunity is a resounding, yes. The service providers are going to upgrade their infrastructure. And fortunately, we're in a very strong position as part of that infrastructure upgrade. And so, we think that's the case. The other thing is that, they are more with Ericsson, they have more service providers in the queue. So in terms of the number of proof-of-concepts and then proof-of-concepts turning into a meaningful go-live launches, that funnel continues to build nicely.
Dave Kang: And any other potential customers in the pipeline that you can talk about or is it still the North America service provider and the European equipment vendor?
Ed Meyercord: Yeah. Those are the -- I mean, they remain the big two and what I would say is, we see more opportunities with both of those customers. As we look at service provider, we have a sell to. From a traditional IT perspective, we have a sell with where we're part of their solution from an OEM. And now we see opportunities to sell through to be their partner, their enterprise partner. And so, these are the three prongs that we're attacking the service provider market with. And there are significant growth opportunities that we see in the market.
Dave Kang: And my last question is, I may have missed it, but did you give out the backlog composition in the mix?
Ed Meyercord: I don't believe we did give the composition of backlog mix. When you're saying mix, you're referring to?
Dave Kang: Wired and Wireless.
Stanley Kovler: We don't break it down, Dave. [Multiple Speakers]
Ed Meyercord: Actually broken that down.
Dave Kang: Okay.
Stanley Kovler: We give a general number.
Dave Kang: Yeah. Thank you.
Ed Meyercord: I think, I would say that we would expect it to be fairly consistent with the overall business mix that we report.
Stanley Kovler: Hey. And Dave, I would just add that, you know, we did say in our prepared remarks that the backlog has a good contribution from universal platform products. And so, those are the newer products that we have come out to market with. So we did talk about that.
Dave Kang: Got it. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Christian Schwab with Craig-Hallum. Your line is open.
Tyler Burmeister: Hey, guys. This is Tyler on behalf of Christian. Thanks for letting us ask a question. So I didn't hear and I was wondering if you could give any update, I think you said last quarter that you expected that your backlog would take multiple years to return to normalized levels. And it probably wouldn't be back to $50 million to $100 million type normalized level until fiscal '26. I guess, any update or [indiscernible] of that?
Ed Meyercord: Yeah. We still have the same outlook and the way we've guided that is, that we see backlog returning to normal by the last quarter of fiscal '25. And then sort of being normal as we enter '26. And so, that's how we model it. And that's how we've seen it. And it's a combination of strength of demand, because we continue to see strong bookings. And then also just this -- the release of backlog in terms of how we forecast supply chain.
Tyler Burmeister: Perfect. That's great. That's all for us. Thanks, guys.
Ed Meyercord: Okay.
Operator: Thank you. And it looks like we have a follow-up. One moment. From Alex Henderson with Needham and Company. Your line is open.
Alex Henderson: Great. Thanks. So I wanted to ask a question around the realized pricing and discounting. There was a lot of discussion about very steep price hikes over the last 18 months, pretty much out of everybody in the category as components were going up. But the realization of those prices, even as supply is starting to improve seems a little less than what we would have expected. And it sounds like there's probably a little bit more discounting going on as the economy is weakened, particularly out of your competitors. So can you talk a bit about what you're seeing in the pricing arena and how much of the price benefits that you've announced or increases you've announced are now being discounted out?
Ed Meyercord: Yeah. We're you know, that's always the phenomenon Alex, there's always a price increase and then a portion of the price increase gets discounted away. And so, it really is -- it's kind of a combination of art and science and trying to handicap and forecast that. One thing that I can say is that, the supply chain environment is complicated things. Because as we sell and we put orders into backlog, we have different vintage orders that have different levels of pricing in them, if that makes sense.
Alex Henderson: Yeah.
Ed Meyercord: So one of the things that we have done last quarter, and that we're looking to do this quarter is released a much older backlog, and that older backlog will not have as many of the pricing moves, if you will, or the price increases in the ASP. So that's part of kind of what we have to balance. Our view is that the margins are going to come. And we fully expect to see that the step function right now, given the mix issues that we talked about in the quarter, and then the March quarter, we see it stepping into the June quarter before we cross over 60%.
Alex Henderson: I get it on the margin side, then you're pretty clear on your guidance there. I guess, my question really is how much of the revenue growth is a function of price versus volume, within the both the December quarter and back half outlook?
Ed Meyercord: Yeah, I think we would point to -- I think we would point to low to mid-single digits for that pricing number.
Alex Henderson: Great.
Ed Meyercord: The other comment that I'd make Alex is that the largest competitor in the industry has raised price. And fortunately for us, it creates an umbrella and gives us the flexibility to consider potential pricing moves as well.
Alex Henderson: How much do you think Cisco's prices are up?
Ed Meyercord: We think in the high-single digit, low-double digit range.
Alex Henderson: All right. Any thoughts on the trajectory of interest income and tax lines for the next couple of quarters? Obviously, your cash position is improving, your debt is coming down. Makes a little hard for us to calculate that number. What is the march expectation for interest and other income? And for that matter, any sense of the June quarter would be great as well.
Ed Meyercord: Cristina, you jump in on that one.
Cristina Tate: Yes. Thank you. So we expect interest expense to remain fairly stable as we do bring down our debt. So we don't see a large increase in that. And we're basically affecting our non-GAAP results with roughly an 18% to 19% effective tax rate.
Alex Henderson: So the net of the numbers, because we don't see the components of it. The net of the numbers, because we don't see the components of it. The net and that number on the interest and other income line should be continuing at around $2.9 million expense? Is that what you're saying?
Cristina Tate: Should be higher than that for both interest and [indiscernible].
Alex Henderson: That's what you posted in the -- no, interest in the interest line?
Cristina Tate: Yes. That's right. Let's call it $3, roughly $3 million to $3.5 million something in that range.
Alex Henderson: And is there a reason why that's not coming down as cash balances are getting better rates and the…
Cristina Tate: Rates are increasing as the balance goes down.
Alex Henderson: Okay. So the rate -- the floating rate on the debt is going up and offsetting the floating rate on the interest -- the cash balances.
Cristina Tate: Right.
Alex Henderson: Okay. I got it. And the taxes you already gave me. Thanks.
Ed Meyercord: Alex, the other thing I would just mention is that the share count, you'll see a drop in share count based on the share repurchases during the second quarter.
Alex Henderson: Great. Thank you. Actually, before I get off of one last question that what are you seeing in terms of employee retention and employee wage rates inflation?
Ed Meyercord: Well, this is the quarter where we have, from a benefits perspective and from a merit increase, this is when that gets whizzled into our numbers. But you're familiar with that, because that's always the March quarter. We are in a really strong position and really fortunate we have first of all, our turnover is very low, the lowest among the tech industry peers. We do a lot of comparison, evaluation and analysis and our voluntary turnover is incredibly low. And along with that we are in the market and we're hiring, because we're investing in growth, because we have this unique growth opportunity over the next several years, and we have a lot of different growth opportunities that we can invest in. So Extreme has been hiring and our turnover has been low.
Alex Henderson: Great. Thank you.
Ed Meyercord: Yeah.
Operator: I'm showing no other questions. I'd like to turn the call back over to management for closing remarks.
Ed Meyercord: Thank you. I'd like to thank everybody for participating in the call today. Obviously, it's a record quarter for Extreme, record revenue, record cash flow. We just missed that 15% operating income number and the momentum as it relates to our bookings and our customer growth continues to be very strong. So we have a lot of different people listening in the call, so shout out to all the Extreme employees, our partner community that's helping us drive growth, our end users out there and of course, all the investors for participating on the call today. We would encourage everyone to participate in the upcoming investor conferences over the next couple of months. And as I said before, there's never been a better time to be at Extreme either employee, partner, customer, investor. And another welcome to Cristina, for joining us today on the call and stepping into her new role. Thanks, everybody. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.